Operator: Good day, everyone, and welcome to LanzaTech Global Inc.’s Third Quarter of 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later in the call, there will be a question-and-answer session. [Operator Instructions] And now at this time, I will turn things over to Kate Walsh, Vice President of Investor Relations and Tax. Please go ahead.
Kate Walsh : Good morning, and thank you for joining us for LanzaTech Global Inc. third quarter of 2024 earnings conference call. On the call today, I'm joined by our Board Chair and CEO, Dr. Jennifer Holmgren; and our CFO, Geoff Trukenbrod. Earlier this morning, we issued a press release with our third quarter 2024 financial and operating results as well as an investor presentation summarizing the company's performance and key operational highlights for the quarter. Please also reference our quarterly report on Form 10-Q for the quarter ended September 30, 2024 filed today. Both our press release and investor presentation can be found in the Investor Relations section of our website at www.lanzatech.com. Before we begin, I'd like to direct you to the disclaimers in the front of our investor presentation and remind you that today's call includes forward-looking statements. Any statements describing our beliefs, goals, plans, strategies, expectations, projections, forecasts and assumptions are forward-looking statements. Please note that the company's actual results may differ from those anticipated by such forward-looking statements for a variety of reasons, many of which are beyond our control. Please see our recent filings with the Securities and Exchange Commission, which identify the principal risks and uncertainties that could affect our business, prospects and future results. Unless required by law, we assume no obligation to update publicly any forward-looking statements. In addition, we will be discussing and providing certain non-GAAP financial measures today, including adjusted EBITDA. Please see our earnings release and filings for a reconciliation of these non-GAAP measures to their most directly comparable GAAP measures. With that, I'll turn the call over to Jennifer.
Jennifer Holmgren : Thank you, Kate, and everyone joining us today. It's been a dynamic news week and we appreciate your time on the ongoing support of LanzaTech. First, let's address the elephant in the room. Our third quarter revenue was $9.9 million, about $7 million below target. This was primarily due to two factors. One, we were expecting another LanzaTech sublicense event that would have resulted in the issuance of a second tranche of LanzaTech shares to LanzaTech in the third quarter and close to $8 million in revenue associated with that event similar to our second quarter. And two, while our CarbonSmart revenue more than doubled quarter-over-quarter to $2.2 million in Q3, due to the market dynamics of ethanol pricing being depressed in a target market for Q3 that was still significantly below our expectations for the quarter. While we are actively evaluating material cost reduction opportunities across the business as well as opportunities to reallocate resources to focus on and accelerate commercial activities, I also want to talk with you today about the evolution of our business model to accelerate revenues and profitability. Having worked with partners like [Chogang], our Silver Medal and Indian Oil Corporation to develop and construct, start up and operate six commercial scale biorefineries, we believe we have established the know-how and infrastructure to develop our own commercial projects. While LanzaTech has grown primarily with our licensing business model which allows for rapid capital light scaling, it is a tough model that leaves us dependent upon the adoption and decision cycles of our licensees and often does not allow us to capture the full value of our technology. Over the course of the past year, we have been evolving our business model to complement our licensing business and enhance our capability to develop and finance our own projects where we have more control over their timing and ultimate performance and in which we expect to achieve greater economics including greater upside for LanzaTech in the product and profits of these projects. This evolution can be seen in our recently announced project in Norway, which is expected to reach final investment decision within six months and which we expect to be the first project to be developed with our infrastructure capital partner Brookfield Asset Management, which committed $500 n for such LanzaTech projects. It can also be seen in the creation of our joint venture with the Olayan Group in the Middle East, which we expect will finance and cultivate a growing pipeline of commercial opportunities in that region. And it can be seen in another project, our Project Drake which I'm excited to announce today as it has reached a major milestone which should have significant positive impact on our fourth quarter financial performance and driving meaningful amount of income for 2025 if we rapidly finalize the agreements as expected. Comparable to a Project Dragon in the UK, Project Drake is a 30 million gallon per year EU based ethanol to sustainable aviation fuel project that we have been developing over the last three years, which will utilize ethanol from LanzaTech's waste to ethanol technology platform and convert it to SAF via the LanzaTech platform. We have completed the front end engineering and design or FEED work for inside the battery limits of this project and expect to reach final investment decision and fully finance the construction stage of this project in 2025. Today I'm announcing that we have entered into an exclusivity and financing commitment agreement with a new financial partner whereby they intend to acquire certain rights in the development of this project, fund the remaining capital needed to reach FID and enter into a development services agreement with LanzaTech for this remaining work. We expect to maintain significant upside participation in this project and have already received the first $5 million in fees associated with this agreement and expect to share more about this exciting project and its potential additional impact on our 2024 and 2025 results later in the quarter as we finalize these agreements. I want to clarify that we are not shifting to a capital intensive business model where we're taking binary company risk on individual projects. Rather, we're taking more control over our own success, shortening project development life cycles and positioning ourselves for greater upside in multiple projects by partnering with world class visionary capital partners from the earliest stages of our project development. Securing capital for development stage projects is difficult and time consuming, especially on a project by project basis, which is why we have adopted this partnership approach with strong capital partners for financing the various stages of project development and securing financing partnerships upfront and then designing and developing projects to meet our partners' investment criteria. We are also continuing to expand access to ethanol volumes produced from our licensee biorefineries in order to grow our CarbonSmart business and its margins. Today, we also announced a two-stage ethanol off-take agreement with ArcelorMittal, a short term contract with a $6 million annual revenue potential and a five year contract with annual commitments of 5,000 to 10,000 tons generating a potential $10 million to $20 million per year. This is our first long term ethanol purchase agreement which enhances our access to product and allows CarbonSmart customers to make longer, larger commitments which has the potential to significantly boost our future revenues. This progress is thanks to the foundation we developed for delivering CarbonSmart ethanol to our customers and trading ethanol from our China plant. Now let's talk further about why we're in a strong position for 2025 and beyond. If we look back at what LanzaTech team has accomplished since our last earnings call, it is truly impressive and speaks to the solid foundation we continue to build for long term growth. First, on the sustainable aviation fuel front, in addition to Project Drake, we have announced several projects and milestones which demonstrate the interest in LanzaTech ethanol produced from waste resources to produce SAF through CirculAir. That is our joint offering in partnership with LanzaTech. The global market for sustainable aviation fuel produced from ethanol is experiencing significant growth and we expect the pool of our ethanol to be picked up for SAF to grow right along with it. There are projects underway in the UK, the EU, India, Australia and New Zealand and we expect LanzaJet's Freedom Pines fuel facility here in the U.S. to start producing barrels imminently. What all these projects reinforce is the massive interest in our ethanol producing technology which provides a critical source of feedstock for the multiple SAF projects underway leveraging LanzaJet’s Technology. During the third quarter we also expanded the scope of our work with our New Zealand command to get to assess the use of municipal solid waste as a local feedstock for shaft production in New Zealand. After successfully completing feasibility study for locally grown woody waste. This builds upon the work we're doing with Wagner Sustainable Fuels in Australia, our First CirculAir Project around municipal solid waste as feedstock for their planned SAF refinery at the Port of Brisbane. And adding to a project using municipal solid waste as a feedstock to ethanol production is the master licensing agreement with SEKISUI that we signed in September to develop multiple waste to ethanol plants across Japan. We are in the early stages of executing this plan but are truly excited about developing a replicable global blueprint for other countries and businesses to follow on how to access and utilize the carbon log in local garbage. Turning now to progress with industrial off gases as a feedstock for ethanol production, our collaboration with Eramet in Norway represents what we believe to be the first of a kind integrated CCU & CCS facility designed to achieve leading edge carbon abatement results for hard to abate industries. Metals, cement, chemical shipping and aviation are among the hardest industrial sectors to evade and we see a number of avenues ahead where we can leverage and replicate the work we're doing in Norway to provide profitable decarbonization solutions to other companies grappling with the same situation. As we expand our biorefining global reach, we're also expanding our platform's capabilities. In early October, we announced our ability to produce single-cell protein, a product we're calling LanzaTech Nutritional Protein. The estimated $1 trillion alternative protein market is expected to grow significantly and our nutrient rich product is designed to be an ideal ingredient for animal feed, pet food and human nutrition that can be produced from CO2, oxygen and hydrogen anywhere in the world. Our bioreactors have been producing protein as a co-product to ethanol for years and now we have developed the capability to produce protein as the primary product. Importantly, we continue to develop partnerships with animal, pet and human food producers to enable us to aggregate demand for the production of lands of pet nutritional protein at commercial scale. To close, we are focused on a strong Q4 to finish the year with nearly two months less. There's still a lot of time on the clock to execute what we have in process. Several of the largest initiatives we have in development right now have some element of timing uncertainty, which results in a large range of potential fourth quarter financial outcomes. Those initiatives are Project Drake, where we are finalizing agreements our project in Norway, where we are preparing a package for FID review by Brookfield and Project SECURE, which we announced in March of this year and is progressing well. We are working on finalizing the contracting framework with Technip Energies and the Department of Energy. Additionally, the next LanzaJet sublicensing event and the related issuance of additional shares of LanzaJet to LanzaTech as timing uncertainty as well. It's important to note that we expect these projects will unlock access to cash that will significantly bolster our financial liquidity. I am confident that the moves we're making with our business model will improve the certainty of development timelines as we go forward and will be accretive to our short term and long term business economics. We expect these moves will allow us to control more of the feedstock operations and off stake in our asset portfolio which should increase our cash flow generation and accelerate our path to profitability. And with that, I'll turn it over to Geoff for the financial update.
Geoff Trukenbrod : Thank you, Jennifer. Good morning, everyone and thank you for joining us on the call. I'm going to provide some additional details associated with our results for the third quarter of 2024 and further details on our expectations for the fourth quarter. As Jennifer mentioned, headline revenue for the third quarter of 2024 was lighter than expected but would have been in line with expectations if the next LanzaJet sublicensing agreement had been signed in Q3 as we expected. For Q3, we reported $9.9 million of total revenue which included $5.9 million of biorefining revenues, $1.8 million of revenue from joint development agreements and contract research and $2.2 million of revenue associated with CarbonSmart product sales. Drilling down into these separate revenue categories, biorefining revenues of $5.9 million in Q3 was similar to Q2 excluding the $7.9 million related to the additional LanzaJet share consideration we received in Q2. As compared to Q3 of the prior year, this quarter was down $6.5 million with the key variance item being higher engineering services revenue being reported in Q3 of 2023. Specifically the engineering services associated with Project Dragon were particularly high in the third quarter of last year as that work was ramping up. Going forward, we expect to see quarter over quarter uplift related to the monetization of engineering work to be done on Project Drake and other projects we have in our pipeline. Joint development and contract research revenue for the third quarter of 2024 was sequentially down $1 million to $1.8 million as compared to $2.8 million for second quarter of 2024, primarily due to the completion of a few pieces of government projects and some downtime before new projects kick-off in fourth quarter with results materializing in 2025. We announced the project ADAPT government funding in October and expect to receive at least one other government contract before the end of the year, which sets us up nicely for 2025 growth in this category. And for CarbonSmart, product sales revenue for the third quarter of 2024 was $2.2 million up significantly from 2Q 2024 of $0.9 million and in line with third quarter 2023. The quarter-over-quarter increase this year was driven by incremental direct fuel product sales built upon having the right licensing structure of partners and supply chain in place, which we announced during our 2Q 2024 earnings call. We had access to more volumes, but ethanol prices for fuels dropped in China, where we had targeted to sell these volumes, prompting us to scale back our trading activity. Going forward, we expect to have access to more volumes from our solar metals plant in Ghent, which will drive growth in our CarbonSmart business for fourth quarter and beyond. Turning now to cost of revenue which was $8.1 million as compared to $14.4 million for third quarter 2023 and $5.5 million for second quarter 2024. This was largely related to headcount allocations associated with the delivery of our biorefining services and JDA work during the third quarter of 2024 and the higher CarbonSmart sales. Gross margin was a relatively low 18% of revenue for the quarter as a function of revenue mix including additional lower margin CarbonSmart sales and the fact that we did not realize the revenue which was effectively 100% margin associated with another LanzaJet share issuance. On the operating cost front, third quarter 2024 operating expenses were $34.8 million up approximately $5 million from prior year, essentially flat as compared to second quarter 2024 and overall below budget as we have focused on controlling and reducing our costs. The increase year-over-year is driven by expenses associated with projects that we are developing with the intent of transferring them to our infrastructure capital partners later this year or early next year at which point we expect to recoup these costs. And as for adjusted EBITDA, our third quarter 2024 adjusted EBITDA loss was $27.1 million as compared to third quarter 2023 adjusted EBITDA loss of $19.1 million. The year-over-year variance is attributable mostly to lower revenues reported year-over-year and the higher year-over-year project development expenses and OpEx that I just discussed. Wrapping up my remarks related to third quarter 2024, I'll give an update on our cash position. At the end of September, we had $89.1 million in cash on hand including cash restricted cash and investments. This compares to $75.8 million at the end of second quarter 2024. The increase in our cash position quarter over quarter is attributable to the $40 million investment by Carbon Direct Capital we closed in August and announced on our second quarter call. We ended the quarter in a stronger cash position than forecasted even on lower than expected revenues due to our focus on cost control and the fact that the forecasted revenues that we did not recognize in Q3 were not expected to have material cash flow impact. Post September 30, we made a $10 million settlement payment to ACM, which is one of the two parties involved in the forward purchase agreement that was put in place in 2023. It was our decision to fully satisfy our obligations to ACM under the FDA in cash in order to achieve two main benefits. First, we reduced the number of issued and outstanding common shares; and second, we limited future downward pressure on our stock price in the event that ACM was to sell their equity position in LanzaTech on the open market. Now, I'd like to take some time and discuss our fourth quarter outlook. As Jennifer mentioned, we have a wide range of possible outcomes for the final quarter of this year. Essential drivers of revenue for fourth quarter 2024 include five key components. First, for the past three quarters our current base business has generated about $10 million per quarter. Second, we expect our project in Norway to be in Brookfield's hands for FID evaluation soon and we estimate that represents approximately $20 million of revenue for us upon positive FID. Third, Project Drake is in a similar ballpark for a project in Norway in terms of potential cash flow and income for fourth quarter in addition to base lining revenue for 2025. Fourth, assuming we rapidly finalize our award contracting process for Project SECURE, we forecast recording approximately $4 million of revenue before the end of the year. And finally, LanzaJet is working tirelessly on a number of sub-licensing agreements and the successful signing of another agreement could result in additional share consideration and incremental revenue during the quarter. We discussed our LanzaJet sublicensing arrangement in detail during our second quarter 2024 earnings call, so I won't go into it as much today. But the potential for us to receive both the second and the third and final tranche of LanzaJet equity in the next several months would also be expected to result in significant revenue recognition associated with that share consideration. With that, I'll turn the call back to Jennifer for some closing remarks before we open the call for Q&A. Jennifer?
Jennifer Holmgren : Thank you, Geoff. I want to close by reiterating a few key points. First, we're happy with the progress we're making to evolve our business model and develop projects like the Eramet collaboration in Norway and Project Drake in the EU. Second, there is strong enthusiasm for alcohol to jet enabled SAF projects and our waste based low carbon ethanol. This has led to exciting announcements with Wagner Sustainable Fuels and Air New Zealand with more anticipated. Third, we remain sharply focused on commercial growth and increased product sales in tandem with disciplined cost control in order to accelerate our path to midterm profitability and positive cash flow from our operations. With that, let's open up the call for questions.
Operator: [Operator Instructions] We'll take our first question from Leo Mariani with ROTH.
Leo Mariani: You guys, ask a little about some of these revenue components here. I guess I'm a little confused on Project Drake. I guess you guys said that you received $5 million already. So is that $5 million of revenue that's going to hit in the fourth quarter? Or is it going to be accounted for is something else? And then is that $5 million included as part of that roughly $10 million base revenue business that you expect or that would be additional to that?
Geoff Trukenbrod : Hey, Leo, good morning. Thanks for joining us on the call. So to address it, so Project Drake is a project we've been working on for a while. The $5 million is an exclusivity fee associated with it. We do expect it to think about it as a effectively as a deposit or the first part of a broader payment in Q4 associated with the paying for the development services packages work that we've done. So we expected -- we assuming we're able to finalize the agreements that we do expect that $5 million to be part of what will be recognized as revenue and not part of that kind of $10 million that you quoted which is we're just trying to connotate there that that's what the business has been doing. Little conservatively speaking, it's been doing a little bit better than quarter-over-quarter year to date. So that's not in that $10 million that would be incremental to it.
Leo Mariani: Okay. That's helpful. And then just wanted to jump over to the cost side here. You guys have talked a lot about cost savings initiatives for quite some time. And I guess if I just look at the numbers here, I guess, I define your cash cost as basically cash G&A plus R&D. I guess those numbers have gone up the last three quarters here. So, can you kind of help me out a little bit with the cost savings initiatives? Have they not yet hit the numbers? Or maybe they were going to be higher than you reported and now there's sort of less growth, I guess, than in the cost? So I'm just trying to understand that. And how do you think cost evolves as you roll into fourth quarter and into next year?
Jennifer Holmgren: Thank you for the question, Leo. What is happening is, as you know Project Drake and also Project [Exelixis], we are delivering those projects to FID, and then they are transferred or sold, if you will. Because we're doing all the work now, we're doing we're expensing all of that cost now. That includes external dollars because, as you know, to get to FID, we also have to do feed package with external contractors. We also have to do applications, permitting, all of these things for environmental issues. So there is an awful lot of work internal and external that is required to get a project to FID. All of those expenses are being booked right now. And then when the projects both Drake and [Exelixis], the Norwegian project get transferred, we will be in a position to simply recoup all those costs. Geoff, do you want to add something to that?
Geoff Trukenbrod : Yeah. I would just say that with that and Jennifer is absolutely right that that has driven a significant component of our OpEx. OpEx is fairly consistent quarter-over-quarter, but it is that piece of it is overshadowing some of the cost reductions we've had on specific OpEx items. So we've actually reduced quarter-over-quarter many of our OpEx line items as well as reduced it relative to budget for the year. So we are driving costs down relative to what we planned at the beginning of the year and on things like salaries and benefits expense, contract, variety of other things we reduced cost quarter over quarter as well. Okay.
Leo Mariani: And then just on your sort of bit of a tweak to the business model here. You talked about bringing in infrastructure partners to finance, I guess, new projects, maybe accelerate some of these. Can you provide a little bit more color there? Is Lanza going to be putting some equity into these projects? Maybe it's a small amount, but maybe it's zero, I don't know. Just wanted to get a sense of that. And I guess maybe, do you have discussions going on with multiple infrastructure partners? And presumably this is beyond Brookfield, other people other than Brookfield?
Jennifer Holmgren : That's absolutely right, Leo. As you know, a long a while back ago, we announced we were doing a JV with Olayan. That JV is now completed. Olayan, as you will know, we are working with them in the Middle East, especially in the Kingdom of Saudi Arabia. That JV is completed, and we are now developing projects together in that region and you'll hear a lot more about that in the coming quarters. In addition, there are the Project Drake that we're transferring is to an infrastructure type investor. And because of the fact that Brookfield is our relationship with Brookfield is regional, Europe, U.S, UK, we are looking we are actually talking to multiple other infrastructure partners. The key for us in relationship to infrastructure partners is getting a project to FID. And once that happens, we have multiple folks that have committed to building them, whether they be ethanol projects or SAF projects. One of the things that a lot of our infrastructure partners are excited about is the ability to go all the way through SAF via LanzaJet starting with ethanol made from waste resources via the LanzaTech technology. We call that integration CirculAir, but the point is clear, it's all about the feedstock and the importance of the feedstock in building SAF projects globally. And there's lots of interest from infrastructure partners on that. Does that address your question? Or do you need more than that?
Leo Mariani: No, that was helpful. Thank you.
Operator: Our next question comes from Jeffrey Campbell with Seaport Research Partners.
Jeffrey Campbell: Good morning. I'd like to sort of pick up the discussion of the changed business plan here and we'll use Norway maybe as a lens for future efforts. First, if I understand this correctly, the emitter is not contributing capital to the project. So what specific benefit is it receiving? Then second, does this suggest a template where emitters will agree to provide waste carbon, but the projects can be financed by other parties? And then third, will the financers retain a long-term interest in the project? Or is this going to be something more similar to, say, a partnership flip type structure where the partner retains most of the cash flow up to target return and then the cash flows revert to LanzaTech?
Jennifer Holmgren: Hi, Jeffrey. Thank you for the questions. Let me start by saying that part of the shift in the business model is not just taking more control by developing the projects and getting them to FID, but it is also as you can see from the Norwegian project, we are also retaining 50% of the off-take so that we can get the revenues that a producer would normally get, which is the upside from selling the product, the ethanol or the SAF or anything else, right? So that's an important part of this. We will -- so we will be receiving those revenues in addition to our normal revenues, our Brookfield arrangement, and this is what we would do generally, is we still receive the licensing, the equipment, the engineering, and the services revenue. In the agreement with Brookfield, we have to get the project to FID, and also we need to get it to the point where there is a specific return to them. If there is upside beyond that, we can potentially share in it. But it's a path for us to be able not just to control the timelines, but also it is a path to expand who we work with. We have been working to date with emitters who want to build a plant. Indian Oil. Right? They need ethanol, to blend into gasoline. They need ethanol to make SAF. And so we tend to work with these kinds of folks, our solar metal. They will fund their own plant. But there are a lot of other emitters who want to reduce their carbon intensity but don't want to put a gas fermentation refinery at that site and pay for that because it takes them outside of their core business. And that is where our infrastructure partners have a big role to play. They enable us to work with them even though traditionally these folks would not have been in the pipeline because we wouldn't have had the revenues. And I would just say one last thing about this. It is important to note that these relationships with infrastructure partners depend so much on the fact that we have six commercially operating plants, we've established the credibility. These are now cookie cutter projects, right? They're not first of a kind and so that's why we have so much interest from infrastructure. And of course the benefit to the emitter as you asked initially is the fact that they are reducing their emissions, which is something that is critically important to them.
Jeffrey Campbell: Now that's very helpful. And now that's very helpful. And I agree. I think being able to widen the pool of money that can go into the projects is really critical. I was curious to know what motivated ArcelorMittal to, I guess, ask for more exposure into the ethanol business, particularly as you noted, weak ethanol pricing hurt CarbonSmart during the third quarter?
Jennifer Holmgren: Well, Arcelor what we've announced this quarter actually is that we are accessing 5,000 tons from the first year of ethanol and then 10,000 tons for the next five years. So they've always intended to sell the ethanol themselves. They've just agreed that we could take a portion of it and therefore create more upside from the value we bring, but than a standard license. But the last thing I would say is they they've never wavered on their interest to use their carbon to make fuels and chemicals versus use their carbon to make power. I think there's a view that just wasting carbon on power production is not the future. And so they've leaned into the idea of making a product like ethanol and beyond.
Jeffrey Campbell: Okay. And let me ask one question on a different subject. Will obtaining green hydrogen be a necessary ingredient for success in the Incipient LanzaTech nutritional protein effort and whatever source of hydrogen is appropriate, is this likely to represent a capital expense, should an existing LanzaTech facility wish to convert to protein production?
Jennifer Holmgren : So first of all, on the great thing about nutritional protein is that the production of protein is so energy intensive, so water intensive that even if you use gray hydrogen to convert -- to use CO2 to make protein, you actually reduce the carbon intensity of the protein product. Obviously, you reduce it more when you use blue and green. So we are not dependent on green hydrogen and in fact we can transition, we can have an impact from gray to blue to green. You have to remember that there are food security issues as well and food availability for growing population, not just low carbon food. And LanzaTech nutritional protein allows you to do both, not just one. Now will there be a capital expense? The reaction would require CO2 and hydrogen as well as a small amount of oxygen. So if you wanted to convert a plant, you would need to add some safety systems that would be different. And then if hydrogen is available, you could build out to add hydrogen. But really the expense would be minimal compared to starting from scratch.
Operator: Our next question comes from Thomas Meric with Janney Montgomery.
Thomas Meric: Good morning, team. Thanks for the time. Just wanted to follow-up on a few things related to the transfer of the Norwegian project. Is it correct that the $20 million is a quarterly number or will some of that be spread out over multiple quarters? And then second part of that is what do we model for kind of free cash flow conversion of that bucket of revenue? And then finally, just thinking about future projects that are transferred to infrastructure partners, Brookfield or otherwise, how do we think about the free cash flow conversion of those projects? And then kind of as a side to that, what have you learned from the first project that you want to carry forward into the future ones?
Geoff Trukenbrod: Thanks, Thomas. Great to hear from you and appreciate the question. Couple of questions in there and so I'll try and unpack both of them. So first in terms of just the dollar amounts that we're talking about here relative to the fourth quarter. As Jennifer mentioned, there's a catch up aspect of a recouping of cost aspect of cost that we've incurred previously that we expect to recognize in the quarter. So those are actually kind of more the one time associate. I don't want to call it one time, but it's kind of catching up on the retrospective expense. There is a long tail future revenue expectation associated with those projects as well as we continue to play the kind of majority role in those projects. We'll continue to be providing development services. We'll continue to in some cases provide additional engineering support. We'll provide startup services all of our kind of traditional economics associated with one of our projects as a licensor will translate to these projects. The owner or the customer in those cases will it's Brookfield who takes it over one of the other infrastructure partners. They will effectively be the customer. We're going to be doing kind of build on operate as a service. So it does create this long tail revenue stream associated with us, but the 20 is indicative of the catch up of the costs we've incurred to this point.
Jennifer Holmgren: Let me --
Geoff Trukenbrod: Yes, please go ahead, Jennifer.
Jennifer Holmgren: No, I was just going to add one quick thing. You asked about replicability and why we're choosing one project to begin with as to transfer to Brookfield. One is to learn how to transfer a project, but also we're trying to develop a platform that is replicable. A design with partners in the EPC world, in this case, Fluor and in other cases, Technip that can be replicated across the world. So the amount of time it takes to get there and the cost of getting there for us since we bear the cost until the transfer are lower. We call this a lift and shift strategy. And so this first project with Brookfield, with Eramet, with Fluor is something that we hope to duplicate, and we have identified multiple locations and created a pipeline where we could just literally move the same exact cop copy of that project somewhere else. Project Drake is also an example of that. This is Project Drake represents the 30 million gallon per year facility that that we developed for Project Dragon, and it is an ethanol to SAF facility, and we absolutely intend to replicate that across the world in partnership with LanzaJet. So we're very excited that we are creating a platform that can be duplicated.
Geoff Trukenbrod: And it's something that we would just be specific about what have we learned. We've learned a lot associated with each of these projects that we've been developing at these pre-FID stages. As part of the reason and part of when we commented in our prepared remarks about this evolution of our business model, given the ability to develop these projects and continue to develop projects has led us to this conclusion that partnering with capital partners at the very earliest stages of these projects so that we're well aligned with them throughout the pre-FID stage. It was also an important component of this.
Operator: We will move next with Jason Gabelman with TD Cowen.
Jason Gabelman: Good morning. Thanks for taking my questions. I wanted to ask on the revenue build up for 4Q. Given the lumpiness of the revenues quarter to quarter and the potential for things to move around? Are these revenues that if you don't earn in 4Q, you expect to get a 1Q ‘25, just so that we properly kind of calibrate our expectations on the delivery on these revenues?
Jennifer Holmgren : That's right. It's not a question of if, but a question of when. And so how long it takes to do some of the transfers and complete agreements is really what this is all about rather than, a yes or a no decision on going forward.
Jason Gabelman: Got it. That's helpful. Thanks. And then the $10 million base business, what does that exactly represent? I'm just trying to understand how that could potentially grow over time so we have more confidence in kind of what the company can earn steady state moving forward?
Geoff Trukenbrod : Yes. Thanks, Jason. I think what we're trying to connotate there is that if you kind of look at the three prior quarters and the engineering services, the JDA contract research, the work we've been doing kind of quarter over quarter, we expect to continue and then we're adding additional revenue as things convert through the pipeline. So we talked about we had a project kind of move out of advanced engineering and into the kind of post FID construction stage. We got additional projects that we expect to move into those stages which will continue to create additional revenues while we continue to bring projects through the same stages that we've been working on. So it is really the same story we've been trying to articulate previously which is that it's about taking projects, building the pipeline and converting those projects through the various stages of our pipeline. And we're excited about a couple of those projects now having moved beyond advanced engineering. We think that's something that we've been telling the market and telling you that we expected to do later this year. And so we are pleased that that is happening, but we expect more of those in 2025 and kind of creating additional revenue associated with those.
Jason Gabelman: Got it. And my final question is on the ethanol off-take agreement. So just trying to understand the $6 million number, is that tied directly to ethanol prices? So that $6 million is going to move around based on where ethanol prices are. And then what exactly is driving the change from the $6 million to the wider $10 million to $20 million range? Is that just the off-take volumes?
Jennifer Holmgren : That's right. So we are using approximate numbers based on both ethanol trading numbers, but also on our CarbonSmart business and what value we can get for that ethanol. And the only difference between that is the two numbers is in the first case, it's 5,000 tons per year, which is what we have acquired for the first year of production, and the rest is 10,000 tons per year for the five years after that first year, and that that's how we got those numbers. We intend to continue to do this. We have been using almost a spot timing for asking for ethanol from China that we then put into our CarbonSmart products. And now what we're doing is we're trying to get long term off-take commitments from our production facilities and in turn flip that over to off-take commitments for our CarbonSmart users. And I think that will give them certainty that they'll be able to access product as well. So it really is us getting product and then transferring that product to other to our customers and creating more certainty. And for us also creating more upside. I mean, the licensing model is you leave a lot of money on the table for the value that you've generated. And while that's good because, somebody else is putting the capital, we would like our business to participate more in you know, based on all the IP that we've generated. So that's why we're transitioning.
Operator: Our next question comes from Steve Byrne with Bank of America.
Steve Byrne: Yes. Thank you. I'd like to drill a little bit more into your nutritional protein product. Is this actually a protein or is it a series of amino acids? And I ask, are you able to affect the composition of amino acids in what is produced? In some cases, it could really have a benefit in animal feed for certain amino acids. That's one. The other question I had on this is, what's the source of nitrogen for this process? Do these are these bacteria able to fix atmospheric nitrogen into organic nitrogen? And then the last one, Jennifer, your comment about the carbon footprint of animal feed is very provocative. Have you done any lifecycle analysis on this product and the carbon intensity of it as opposed to the carbon intensity of either animal feed or animal protein?
Jennifer Holmgren : Great. Thanks, Steve, for the great series of questions. So let me address the last one first and then work backwards. So, absolutely, we have done both life cycle and cost analysis for this protein. This protein has all 20 amino acids. Our bacteria has all 20 amino acids and is 85% protein. And so it looks very different than plant protein and very similar to animal protein. We do not affect the amino acid composition. There's no need to because we have all 20. We have learned how to genetically modify the organism to add vitamins and minerals. I shouldn't say vitamins and minerals. Vitamins or other beneficial products like anti-inflammatories, omega-3s, et cetera. That is from a genetically modified, material. Our initial offering will be, as always, the non-genetically modified material that has been optimized to provide the 20 amino acids. I would add something also quite important. In our current system, we have a lot of experience with nutritional protein, because as you know today our organism, our bacteria is alive. It does produce ethanol as the primary product, but approximately 10% of the carbon goes to growing the bacteria, right. It's alive and reproducing. We typically remove that bacteria from the bioreactor and we dry it and we already sell it as fish food. That is already marketed. We sold 25,000 tons of protein since we started our ethanol facilities. And we just the only shift now is to say, hey, we want protein to be the primary product because the world is population is growing and it's difficult to grow food. The reality is we're making it harder and harder to grow food. And so fundamentally, we felt why not leverage our capability to make a product that's 100% food versus food being a co-product. And then the last thing I would say is you asked an important question, where does the nitrogen and the sulfur come from? Unfortunately, we don't fix nitrogen from the atmosphere. So this is still an enclosed bioreactor. And inside the bioreactor where the water is, where the bacteria lives, we have to add vitamins and minerals, nitrogen, sulfur, etcetera to help the bacteria produce those amino acids. However, net-net, the economics as well as the lifecycle are excellent. And we have done some comparisons and we'll be posting more and more of these comparisons. But really one commercial plant that would produce 45,000 tons just like our ethanol facilities, 45,000 tons of nutritional protein is the equivalent of 200 million chickens per year. That is the type of impact that this nutritional protein can have and it does it without impacting water supply because it's in an enclosed bioreactor and it doesn't have the same needs as growing plants. So really the carbon intensity is tremendously lower, the impact on food is tremendous and we already have the experience having done it using that currently byproduct of our work producing ethanol.
Steve Byrne: Interesting. Can't imagine what CO2 emissions are from 200 million chickens. But also wanted to just ask you a little bit about Project SECURE. What's the level of interest that you've received from some of the polyethylene producers along the U.S. Gulf to include one of their ethylene crackers in this project? And how close are you to identifying a site?
Jennifer Holmgren: So, working with our partner, Technip, we have in fact identified a primary site. We're just not able to discuss it right now. There is a lot of interest and it's not so that would be interest here in the U.S. For Project SECURE. But as we travel the world, many who are have crackers in Europe and the Middle East are also quite interested in a replica of what is Project SECURE. So our ability to extend and replicate that project globally is a very important part of our future plan. And I want to add one thing because we don't talk about it enough, but I think you saw us announce with IKEA that we have been producing isopropanol, not just ethanol. And we have a bacteria now that's genetically modified that co produces ethanol and isopropanol. So you can imagine that a Project SECURE today is making ethylene, but a Project SECURE tomorrow because our isopropanol bacteria is ready to commercialize, that project could produce isopropanol and ethanol and then make ethylene and propylene by going over Technip Hummingbird technology. So now we're impacting the ethylene and the propylene value chain. And that is the beauty of our technology because that should not take any additional capital investment. It just takes putting in that new bacteria. So we see a path and that's what our partners see globally, a path to making both ethylene products and propylene products and really growing their low carbon portfolio. As far as I know today, very little non-100% fossil carbon propylene and polypropylene are made today. So this is game changing.
Operator: Our next question comes from Pavel Molchanov with Raymond James.
Pavel Molchanov: Yeah. Thanks for taking the question. If we go to the website of Freedom Pines, there actually have not been any updates on the SAF plant since the grand opening in January. So I thought I would see if you guys can give us the latest on that facility.
Jennifer Holmgren: Thanks, Pavel. The first of all noted that we need to update the website. We -- we haven't, in fact, started FEED into the system. And we are not producing SAF right now. You'll be the first to know when we when we do. But right now, we have started FEED, so we're past the early shakedowns.
Pavel Molchanov: Okay. That's helpful. Let me zoom out as well. Given that we're three days out from the election, and a lot of questions about for example, Section 45Q tax credits as part of the broader climate conversation in Washington. Just generally, what are your thoughts on what we can expect that would be directly relevant for your business next year?
Jennifer Holmgren: Yeah. That's a great question, and I wouldn't dare to pretend that I am a politician or a pundit or somebody that that could address your question, in the broader view. But I will address it from our business. First of all, it's great that the election is behind us because it removes uncertainty. One of the biggest is behind us because it removes uncertainty. One of the biggest problems we've had is that the election and the results and what people's opinion of how it could be different has impacted projects moving forward. Right? Everybody's just waiting to see what happens. I would also say that you have to remember that we are not just doing projects in the U.S. We are a global company with projects in India, in Europe, Middle East, and so are geographically diverse business is not just impacted by the U.S. elections. And the fact is that different countries have different motivations for what they do. You know that in the Middle East, in the Kingdom, Saudi Arabia, they're focused on the circular economy to try to grow an alternate business, and that's why we're working with Olayan. You know that in Europe, it's about carbon abatement. That's why we have projects in Norway and the UK and the EU, and they're all focused on getting away from food. We have projects in Australia and New Zealand markets where SAF is so critically important to their industries because of the fact that they are so far away from everything. And so they need low carbon fuel as a license to continue to grow. And in New Zealand specifically to continue to grow their tourism business, they're an ecotourism country, right? You need to get people there with low-carbon intensity products and you need to get them back out of there with low-carbon intensity fuel. So really, what the administration does may impact the U.S, but the reality is the IRA is bipartisan. And the reason it's bipartisan is not a carbon project or a climate bill. It's actually a jobs bill. So I think the fact that the election is fastest is we can move on strong support for public, private, and job creating technologies, which frankly is what we are. So I think, it's where we are, and it's good progress in my mind that we can move forward.
Operator: Thank you. And this does conclude our Q&A session. I will turn the call back to Jennifer Holmgren for closing remarks.
Jennifer Holmgren : Thank you everybody for joining us. As you can see, we continue to make steady progress in executing our commercial strategy even during times like this when we are in our industry are facing a number of headwinds. LanzaTech is in a unique position where we have six commercial scale facilities already operating and the progress we're making is building on that solid foundation. We've earned the right to develop projects, to build projects, to access off-take. These things are really important in growing our revenue and getting us to profitability. We're looking-forward with confidence for our strong 2025 and beyond. And we thank you for all your support. It's not an easy journey. We'll get there with the help of everybody who's on this line.
Operator: Thank you. And this does conclude today's presentation. Thank you all for your participation, and you may disconnect at any time.